Operator: Good morning, ladies and gentlemen. At this time, we would like to welcome everyone to Marfrig Global Foods SA Conference Call to present and discuss its results for first quarter of 2015. The audio for this conference is being broadcast simultaneously through the internet in the website, marfrig.com.br/ir. In that address you can also find the slideshow presentation available for download. We inform that all participants will only be able to listen to the conference call during the company’s presentation. After the company’s remarks are over, there will be a Q&A period. At that time, further instructions will be given. [Operator Instructions] Before proceeding let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Marfrig’s management, and on information currently available to the company. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties, and assumptions, because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Marfrig, and could cause results to differ materially from those expressed in such forward-looking statements. Now, I will turn the conference over to Mr. Martin Secco, Marfrig Global Foods CEO. Please Mr. Secco, you may now begin the conference.
Martin Secco Arias: Thank you. Good morning, everyone. And thanks for you all participating in our earnings conference call for the first quarter of 2015. Here with me are the CEOs of each business unit. Frank Ravndal from Keystone, Janet McCollum from Moy Park, Andrew Murchie from Beef Brazil, who will present the result of their respective units later in the call and also will be available for questions at the end of the call. Also with me are Ricardo Florence, our CFO; and Marcelo Di Lorenzo, our new Director with the relation with Investors and Strategic Planning, Vice President. In the first quarter, our net revenue grew 23% year-over-year with four business units posting double-digit growth and here it is important to note that 83% of the company’s revenue comes from currencies other than Brazilian real. When our international units combined which are Keystone, Moy Park, Uruguay, Chile and Argentina, account for approximately 70% of the consolidated revenue and EBITDA margin of Marfrig Global Foods. Keystone and Moy Park in particular continue to deliver excellent results and today account for the 59% of the group revenue and 66% of the adjusted EBITDA. Adjusted EBITDA margin stood at 7.8% reflecting the good performance of international operations, and the challenging scenario faced in the Beef Brazil operations, which was already anticipated for this start of the year. Q1 Beef Brazil operation our market share for fresh beef in terms of export volume and value in the first quarter stood at 20%, which represent an improvement from last year of 300 basis points in volume and 130 basis points in value. We reduced our consolidated SG&A expenses in a range of net revenue by 60 basis points sequentially and 170 basis points year-over-year. In term of sales by our international operation, the 8% volume growth at Moy Park was driven mainly in the UK and Ireland markets, retail and food service channel with Keystone posted 35% higher sales in Asia compared with the last year. Regarding our financial targets, we achieved R$5.9 billion on net revenue, 7.8% EBITDA margin and R$149 million of CapEx and a consumption of cash for R$88 million. This guidance will - we don’t provide guidance for each quarter, we just provide a guidance for the whole year, but with these results was absolutely aligned with our guidance for 2015, and was absolutely predict when we make the guidance for the whole year. Let’s go to the Page #5. Consolidated net revenue in the first quarter was R$5.9 billion, up to 23% year-over-year. The international units contribute 70% of the growth of the group revenue with Keystone and Moy Park grow to 60% of the consolidated revenue. Moy Park which is responsible for 26% of the group revenue posted growth of 17% year-over-year, beneficial mainly from the 11% of depreciation of the Brazilian real against the pound sterling and from stronger sale in the retail and food service channel. Keystone posted a revenue growth of 37% year-on-year to account of 33% of the group revenue. Revenues growth is explained by the effect of 21%.appreciation in the dollar against the Brazilian real. The 35% growth in sales volumes in Asia or APMEA region and 12% growth in sales volumes to the key accounts in U.S. Marfrig Beef, which is the 41% of the group revenue, posted growth of 17% year-over-year, driven by growth in Brail domestic market under strong performance of Uruguay and Chile operation in both domestic and export markets. Page #6. Our consolidated gross profit was R$631 million this quarter, up 2% year-over-year and gross margin was 10.7%. The main reason of the margin decrease is related to the rise in cost of the raw material in Beef Brazil, as a result of the high level of cattle price. Turning to the expenses. Our SG&A expenses come to R$342 million in the first quarter, down 4% on the year-ago period. This means that expenses registered as a nominal decrease, despite the impact from exchange variation and inflation in the period. As an overview of the net revenue, expenses totaled 5.8%, falling clearly by 170 basis points year-over-year. We can continue with our target to achieve our reduction especially expenses in Marfrig Beef of R$60 million in the year, which was R$14 million achieved in this quarter. Adjusted EBITDA in the quarter came to R$461 million, up to 14% year-on-year, reflecting the fact that all our units posted EBITDA growth in the period. And actually we did not post growth against the first quarter. Since it was very strong quarter seasonally, the fourth quarter, I told our unit. Here I should note that because of a strong performance of our international unit Keystone and Moy Park, the EBITDA contribution was already 56%. Adjusted EBITDA margins broken down as for Moy Park, 7.8%; Keystone, 7.3%, and Marfrig Beef, 8.3%. Go to Page #9, and this is our net income, which was mainly impacted by a non-cash exchange loss of R$506 million reflecting our P&L was negative R$571 million for a negative net margin of 9.7% of consolidated net revenue. I will pass to Janet McCollum. And I will be back to you for the final comments at the end.
Janet McCollum: Thank you, Martin. Good morning, everyone. Just turning to Page 10, let me share with you some of the key highlights of Moy Park’s financial performance in quarter one 2015. The Moy Park business continues to realize strong results, delivering, both revenue growth and EBITDA margin enhancements, compared to the prior periods - the prior year. Looking firstly at our revenue growth, Moy Park has recorded its highest quarterly revenues of R$1,543 million, increasing 17% compared to quarter one 2014, with an underlying revenue increasing 4% year-on-year. Our volumes have actually increased 8% year-on-year, reporting strong volumes in the UK and Ireland poultry, both in the fresh poultry and convenience food categories, and across retail and food service channels. In addition, we are seeing a consolidation of Marfrig’s European beef process business into Moy Park effective from quarter three of last year. Our underlying Continental Europe revenues are very much in line with quarter one 2014, with higher sales of poultry and non-protein [indiscernible] product offset by lower sales in the beef and export products. The business has benefited from a positive impact from exchange variations of sterling against the Brazilian real of about 11%. Some other factors which are partly offsetting the favorable growth increased the cost deflations, which is reflecting the lower grain prices, lower market prices on international exports very much as a result of the restrictions on trade to certain export markets, and the continued weakness of the euro relative to sterling, which reduces the sterling value of Continental European revenues. It is, however, important to note that trade restrictions from the UK to South Africa have now been listed and the markets have reopened. Turning now to our adjusted EBITDA, in Moy Park business, you will see continues to deliver year-on-year margin enhancements, reporting R$120 million, adjusted EBITDA 7.8%, representing an increase of 27% on quarter one 2014, and 60 basis point margin improvements. The 50 basis points margin dilution compared to the previous quarter is explained by the seasonal performance of quarter four, which includes the Christmas Turkey campaign. Year-on-year, the underlying margin enhancement has been delivered through proving our sales mix, continued focus on operational excellence and cost controls, and increasing capacity utilization. So the background also continues for nice commodity costs. We are pleased to also report that SG&A cost was reduced by 110 basis points compared to the previous year. 50 basis point dilution reflect a reclassification of cost appropriately reported the cost of goods sold, which adversely impacted gross margins. Whereas, a 60 basis point underlying improvements, reflecting the continued positive valuation trend, due to the higher revenue productivity coupled with lower marketing expenses. In summary looking forward, we are pleased with the ongoing progress being made in the business and remain confident in the long-term success and developments of the company. We continue to build our business based on the highest quality standards of animal husbandry production and processing, and aims to meet and exceed the ever-changing requirements of our customers and our consumers through innovation, through developments, and consumer insights. Now, I would like to pass you on to Frank Ravndal, who will review the Keystone operations. Thank you.
Frank Ravndal: Thanks, Janet, and good morning, everyone. Let’s talk a little bit about Keystone Foods and how the first quarter developed. Overall, it was a very solid quarter for Keystone. On Page 11, as you can see, net revenue in real was up 37%, with a very large impact from FX. In U.S. dollar terms, the increase in sales was 12%, so still very strong growth. The year-on-year revenue growth in APMEA was 27% in U.S. dollar terms, while revenue growth on the U.S. business was 7% in dollar terms. We had strong double-digit volume growth in APMEA of 35%. Our overall business in China is also up significantly over last year and we expect that to continue into the next few quarters. The Middle East market also continues to be growth market for us. Volumes were up 27% year-on-year. The Middle East also continues to be a really attractive market for future investment for us, given both growth trends in poultry across QSR channels as well as retail channels. Relative to key accounts, on a global basis, total key accounts sales increased 13% in U.S. dollar terms, continuing our track-record of double-digit key account growth that we’ve established over the past several years. In the U.S. key account volumes increased to 11%, with growth in both the QSR channel, and in the retail whole bird to deli business. In APMEA, key account volumes increased 24%, driven by new export volumes out of our Thailand operation as well as gains in both Korea and China. Turning to adjusted EBITDA, the first quarter results of R$140 million was the same as the EBITDA for the fourth quarter of 2014. The EBITDA margin compared with a year-ago is 70 bps lower at 7.3%. The change in margin is due largely to two factors. One is the negative variance of US$3.1 million compared to the first quarter 2014 and the unrealized mark-to-market on grain hedges. The current quarter mark-to-market is a small unrealized loss of R$400,000, the comparison period was a positive unrealized gain of R$2.7 million. Another factor impacting just the U.S. business is a heavy market and low resulting prices for light quarters caused by the closing several import and export markets to U.S. poultry. You can see that EBITDA was up 26% year-on-year on real. In U.S. dollar terms EBITDA was up 3% from the first quarter of 2014. So in summary, very good underlying growth in APMEA and within the key account business in the U.S. The Keystone team delivered a solid quarter contributing 30% of market’s overall EBITDA. And I’d like to pass the microphone to Andrew Murchie, to go over Marfrig Beef.
Andrew Murchie: Good morning, everyone. Going to Page 12, we talk about our beef business division. The net revenue increased 17% compared to the first quarter of 2014, from R$2.1 billion to R$2.4 billion. The first quarter was marked by trend of cattle price increase across the whole country. This was due to a few factors such as an increase of cow prices, the late rain also affecting the productive of pasture that also contributed to the low supply of animals. If we also take into consideration that this is a grazing period, where there is no real pressure to sell combined with favorable exchange rate for export the farmers are waiting for the best moment to sell their animal. The cost of the ruble [ph] was almost 26% higher than the first quarter of 2014, and the total slaughter was 4% lower. And consequently we have a lower volume of product sales for both the internal and external markets. Even with the challenging scenario in the internal market, we were able to increase the share of sales in the food service and retail channels, as we were also able to pass on the increase of raw material in the sales price, showing once again that our focus, knowledge, tradition in these channels have always differentiated our company. The external market was no different and equally challenging. Russia and Venezuela, traditional meat importers of Brazil, went through economical and institutional crises, and reduced their imports from Brazil in this quarter. Notwithstanding, our export share grew from 16% to almost 20% of the total Brazilian exports in raw beef compared to the first quarter of 2014. Also during this first quarter, we completed the approval of three more of the group plants for export to Iran and Egypt. These were plants that we were previously focused only on the domestic market. Our productivity agenda continues to show positive results. We are looking for reductions in the order of $14 million in this first quarter, showing our commitment and continuity to the Focus to Win plan. It is important to stress that productivity is no longer a project, but it’s an integral part of the agenda of all our leaders in our beef division. We brought R$50 million reduction 2014. And we are convinced as the result of the first quarter that we will achieve our reduction target of an additional R$60 million in 2015. As we see in the EBITDA graph, despite a steady increase in the acquisition cost of raw material, the business division was able to pass on increases in domestic prices and leverage the favorable exchange rate also to export market. However, the cost of plants being idle, given the lower volume of slaughter than the first quarter of 2014 contributed to the fall of 1.2 percentage points in the EBITDA margin. To finalize, I would like to comment on the possible opening of the U.S. market for the Brazilian beef. We are confident that this will be confirmed by August 2015. We already have experienced and served the American market with our processed beef products produced in two of our industrial units, as well as production of raw materials for this market in four other industrial plants. It is worth noting that the Marfrig group has a very strong presence in the U.S. market through our subsidiary Keystone, which is already importing beef from other destinations. And therefore, allowing us to be prepared to act quickly when the opening happened. Of no less importance, China should also reopen Brazilian imports hopefully during May, according to the last information. We are convinced that we will reach more than 50% in export sales as shown during the Marfrig Day. And it’s important to highlight that we are not taking the opening of this market into this percentage. Therefore, we believe that the beginning of a large offer of animals already occurring and the readjustment on cattle prices aligned to a more optimistic scenario of markets like Russia and Venezuela indicates better results in the coming months. Our operations in Uruguay and Chile will continue to show strong performance in both volume and in prices. I will now like to pass the word to Ricardo Florence
Ricardo Florence dos Santos: Thanks, Andrew. Good morning, everyone. Going to the Page #13, in this quarter, we had an impact of R$2.2 billion as a consequence of the exchange rate devaluation non-cash that we had on the period. Our gross debt, as a consequence of this rose to R$13.4 billion compared to R$11.1 billion that we had in the fourth quarter. We also managed to level the same level of cash that we had as of the end of the fourth quarter, despite the payment of R$250 million that we had related to the payment of the interest on the mandatory converts of the company. It’s important also to notice that, with regarding the exchange rate that we had at the end of the quarter. Both the average exchange rate that we had in the first quarter R$2.86 per dollar, that is 13% down from the rate at the end of period. And, if you compare it to the average that we in the last 12 months it’s even more impressive of the difference. The average was R$2.43 per U.S. dollar or 29% difference compared to the R$3.21 that we had as of the end of the period. Going to the Page #14, for covenant purposes on our bonds, if you exclude the effects of the exchange rate valuation, as it stated in the nature of the bonds, we ended first quarter at 3.36 times EBITDA LTM, down from 3.42 that we had as of the end of the previous quarter. It is true that we are approximately at the level of six times of net leverage. If you take only the EBITDA, non-adjusted and at the level of R$2.43 per U.S. dollar, but if you make an adjusted pro forma to the EBITDA to the first quarter 2015 period-end exchange rate, this would keep us in the four to five times net leverage range. Other important point to mention is that during this quarter with all the financial operations that we did in the quarter, we managed to keep the average cost of the company at the level of 7.7% per annum. The participation of the short-term debt is 16% of the total debt at this point, probably aligned in what has been the positive of the company. Also the participation of other currencies in our debt of 93%, they follow approximately the participation of other currencies in our revenues which is 83% leaving us with a very efficient natural hedge. Going to the Page #15 now, talking about maturity schedule that we have as of the end of this quarter. We have a very comfortable position. What is in the short-term is basically the trade finance volumes, which we have already managed to get all the funding that’s required to the renovation of this line. I’d like to mention also the recent operation that we did re-tapped of one of our business unit’s bonds in Moy Park very successful. We did a placement of £100 million at an exchange rate of 6.5%, which is below the 7.5% interest that we have on the average debt of the company. After the maturity of the 2021, it helps us to increase the duration of the debt of the company. Going now to the Page #16 on the cash flow bridge after the net income loss and the non-affecting cash items, with regarding to the working capital lines we had a decrease on the suppliers’ line of $108 million as a consequence of more cattle in Brazil that it paid on cash. But, we managed to decrease also the level of the receivables of the company and also the level of inventories to keep absolutely neutral the working capital cycle. This order that you see here of R$198 million are the mark-to-market on the financial operations related to the operations of the company. Also non-realized results that we have on the period, the most important of them were order accounts payable amounting R$31 million and legal deposits amounting R$36 million. Page #17, you have basically for the behavior of the free cash flow in the last quarter. I’d like to stress also that the consumption of R$88 million in this quarter is absolutely aligned with the budget that we had in the quarter, which puts us in line to achieve 2015 guidance of cash flow generation between R$100 million and R$200 million. The way that you do to reach this goal, as we have stated in our guidance for the year for each one of the decisions, they include of improvements in operating performance and also the working capital gains. You remember that, one of the goals of the company is to reduce the working capital between four and five basis at the end of the year. I believe that by the vendors we’ll be able to deliver the goal at the year-end in the same extent that we did in 2014. Now, I would like to hand over to Martin Secco to do the final remarks.
Martin Secco Arias: Thanks, Ricardo. To finalize, remind to you that our Focus to Win strategy remains unchanged. Our focus is on operation margin, efficiency, and free cash flow generation. We achieved the budget for the quarter, which indicate that we are in line to deliver the guidance for the year. Especially, including the free cash flow generation positive between R$100 million and R$200 million. First quarter proved challenging for Brazilian beef operation. And as Andrew explained, we have a strong domestic environment between the price of the cattle raw material and also we cannot pass all this cost for the internal and external market. First, we improved the situation at the end of the first quarter and the beginning of the second. External market are coming again and we are having an extreme potential with the opening of the United States market and China market, not only for the importance of this market represents but it’s very important the window that this market opens for other market very important in pricing as Korea, Japan, Mexico and Canada. We believe that our global platform puts us in a good position to achieve this opportunities and synergy between our business units. Our international operation, Moy Park, Keystone, and the beef operation of Argentina, Uruguay and Chile, which already account 70% of the net revenues of the group, continues to post top line growth of the operational performance and margins. Moy Park sales continue growing especially in the food service and retail market channels. Keystone was a very, very good growth in Asia but also continue growing in the U.S. market as Asia for the rest of the year. We are very successful as we promised in reducing our SG&A expenses in all the units, but especially in the units of Beef Brazil that we promised for the market reduction of R$60 million for the year and we reduced in the first quarter R$14 million. Finally, we’ll continue to work to strengthen our capital structure and subject to the market condition we will carry out the Moy Park IPO in the latter half of 2015. I will thank you again for your participation and from now we are going to open a space for Q&A.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Alan Tores, UBS.
Alan Tores: Yes. Hi, everyone. Actually, I had two questions. The first question, you mentioned that at the end of the quarter you did see cattle prices show signs of weakening and as a result Beef prices adjusted. So I was just curious if you could talk a little bit more about that as far the trends, and how should we think about margins that your Beef Brazil position for the year? And the second question relates to your free cash flow guidance, I appreciate the fact that you said that it is within your plan for what we saw in the first quarter an improvement player this year. But with the currency where it is and your debt exposure, I was just curious about how we think about modeling financial expenses and how you expect that to progress over the year to actually help you get to that positive free cash flow number? Thank you.
Martin Secco Arias: Thank you, Tores, for the questions. I will ask to share the answer between Andrew and Ricardo.
Andrew Murchie: Hello, Tores. In terms of the beef margins, there was a drop in slow trading in the beginning of the year. So there was a less process on ready available annual. Together with that, we have Russia and Venezuela, which are very important countries from Brazil also going through this, let’s say, internal problems. And the volume, of course, for export went down. Now, we’re just seeing that both markets which represent quite an important in our volumes are picking up. Russia has already started in April - doing in April, it’s already the main important country in Brazil and Venezuela has also started. They normally start by the end of February, beginning of March, but they have some troubles in their budgeting and they only started now. So by these two countries taking these volumes from Brazil, you will have less volume offer in the different export markets that we have, such as Egypt or Chile or Uruguay. So by spreading the volumes, we’re going to see some recovery in the U.S. dollar pricing from these markets. At the same time that we take even more product outside Brail - in Brazil focusing on the food service channels, and in retail, we understand that we will see margins improving not much as in Brazil, but also in - on the export, especially considering that having higher volume of offers in terms of capital at this moment. It’s bringing prices - if adjusted prices a little bit some of the states of Brazil we have already seen this price is being adjusted. In others, I presume it will take another capital delinquency.
Ricardo Florence dos Santos: Hi, Tores. With regard to your second question, I would like to remind you that the company has a natural hedge. So we’re going through that we will have an increase in nominal interest even lesser than unit real. But it’s also true that we will have higher revenues as a consequence of the participation of sales in our currency compared to real. This is basically what we have almost as a perfect match, in order to do not get interfere in the cash flow. I mentioned that during the Portuguese call that it’s likely to see a positive impact in the translation. They are occurring from the devaluation of the currency on the revenue line that basically brings up all the other lines in nominal terms. By doing this, the impact on the cash generation from operations basically compensate in nominal terms to increase in nominal real that we have in interests, basically compensated that.
Alan Tores: Do you - can you provide guidance for the year on financial expenses, I mean, generally speaking a range?
Ricardo Florence dos Santos: We have not done this, but if you take the average 7.5% now that plus about R$290 million, maybe R$300 million that we have on the payment of interest, you will have about R$1.15 billion R$1.2 billion in interest payments. I believe that would be a likely range. A little bit difficult to predict at this point given the volatility that we have had on the exchange rates, but those will be in good range, I believe.
Alan Tores: Okay. All right. Thank you.
Ricardo Florence dos Santos: You’re welcome.
Operator: The next question comes from Mauricio Martinez, GBM.
Mauricio Martinez Vallejo: Hello, everyone. Thank you for taking my question. I was wondering if you can share with us if you expect further impact from the Avian Influenza outbreak in the U.S., if you can elaborate on that?
Martin Secco Arias: Yes, of course. I will ask Frank to answer your question.
Frank Ravndal: Yes. Thanks for the infection question. I think it’s very difficult to determine just how long some of those export markets may be closed, because as it depends on how the Avian Influenza outbreaks continue to move through the U.S. market. So I think that predicting when that relief to some of the leg quarter pricing might occur, it’s very difficult. I think, there’s naturally a delay from when things start to clear up in terms of outbreaks to when those markets reopen. So it won’t be something that’s immediate, but it’s difficult to predict exactly how long that would occur, because it impacts the sequence that needs to happen. In the mean time, we look to reduce that exposure and the impact on that exposure by looking for opportunities to debone some of that rather than counting on export markets. But the overall impact of that Avian Influenza from an export market capability is rather difficult to predict.
Mauricio Martinez Vallejo: Okay, perfect. Thanks.
Operator: The next question comes from [indiscernible]
Unidentified Analyst: Hi, thanks for having this call. I just wanted to ask you about your cash flows. I mean, obviously, you’re still guiding R$100 of free cash flow this year. And you mentioned that there are two sources. Obviously, one of them is your operating cash flows, and the other from working capital. Can I just have a good gauge of exactly how you intend to shave four to five days off? Is this from inventory, because my impression is that you don’t really have that much influence over inventory? For example, you talked about your cattle and how you had to have cash flow et cetera. So maybe if I just have a better idea of exactly how you intent to do that and what the real impact you think can be from working capital reduction?
Ricardo Florence dos Santos: Hi, Jeff [ph], Ricardo speaking, good to talk to you. You remember that the company stated one of our goals for this year to have the three and four and five days of improvement in the working capital sidewall. There’s a combination of the reduction in the receivables as we need in this quarter here. We also did something in terms of the reduction on inventories. And the role that have above us is to have back the terms with the suppliers R$100 million that we lost in suppliers in the cash flow in this quarter is a room that we have that fleet to gain back in the next quarters. I believe that the biggest contribution to this improvement in the working capital cycle should come from higher turns coming from the suppliers of the company. We did a lot of purchase on cash from cattle. I believe that the trend now was to see the same trend of purchase that again in the previous quarters. I would like to remind you also the effects of our productivity agenda. We have it ahead of us that believes to more R$50 million of improvement. This also should give a positive contribution compared to the level then we are. This will happen in the operational cash flow. Those are two of the examples that I believe can explain, what is our past up to the free cash flow delivery at year-end.
Unidentified Analyst: Just to confirm, the suppliers, there was no fee in your Marfrig Beef business, right?
Ricardo Florence dos Santos: Yes, that’s right. But we also have initiatives in Keystone and Moy Park that could contribute a little bit on this. But the most part is in Marfrig Beef, you’re right.
Unidentified Analyst: Okay. Thank you.
Operator: This concludes today’s question-and-answer session. I would like to invite Mr. Martin Secco to proceed with his closing statements. Please go ahead, sir.
Martin Secco Arias: Thank you. I would like to thank you again for the participation. And we will be in contact in the next call of results or at any moment that you need through our IR department here in Marfrig. Thank you very much.
Operator: Thank you. That does conclude our Marfrig’s conference call. Thank you very much for your participation, and have a nice day.